Operator: Good afternoon and welcome to Inpixon's Business Update Call. All participants will be in listen-only mode. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the internet, and is also being recorded for playback purposes. A telephone reply of the call will be available approximately 1-hour after the end of the call through May 20, 2021. I would now like to turn the call over to David Waldman, President and CEO of Crescendo Communications LLC, the Company's Investor Relations firm. Please go ahead, sir. 
David Waldman: Good afternoon, and thank you for joining today's conference call to discuss Inpixon's corporate developments and financial results for the three months ended March 31, 2021. With us today are Nadir Ali, the Company's CEO; and Wendy Loundermon, the Company's Chief Financial Officer. Today Inpixon released financial results for the three months ended March 31, 2021. If you have not received Inpixon's earnings release; please visit the company's Investor Relations page at ir.inpixon.com. During the course of this conference call, the Company will be making forward-looking statements. The Company cautions you that any statement that is not a statement of historical fact is a forward-looking statement; this includes any projections of earnings, revenues, cash or other statements relating to the Company's future financial results. Any statements about plans strategies, or objectives of management for future operations, any statements regarding completed or planned acquisitions or strategic partnerships, and the anticipated impact of those transactions on our business, any statements concerning proposed new products or solutions, any statements regarding anticipated new customers, relationships, or agreements, any statements regarding expectations for the success of the company's products in the U.S. and international markets, any statements regarding future economic conditions or performance including but not limited to the impact of COVID-19 on our operations, any statements regarding the valuation attributed to any of our securities instruments, any statements of belief in any statements of assumptions underlying any of the foregoing. These statements are based on expectations and assumptions as of the date of this conference call, and are subject to numerous risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Some of these risks are described in the Safe Harbor section of today's press release and the public reports the company files with the Securities and Exchange Commission. Investors or potential investors should read these risks, Inpixon assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. In addition to supplement, the GAAP numbers, the company has provided non-GAAP adjusted net loss, and net loss per share information, in addition to non-GAAP adjusted EBITDA information. The company believes that these non-GAAP numbers provide meaningful supplemental information are helpful in assessing our historical and future performance. The table reconciling the GAAP information to non-GAAP information is included in the Company's financial release.  I'll now turn the call over to Nadir Ali, Inpixon's CEO. Please go ahead.
Nadir Ali: All right. Thanks, David and hello, everyone. Thank you for joining us today to hear an update on our recent business activities, and to discuss our financial results for the first quarter of 2021. I'll start by saying it was a very busy first quarter, and we have a lot of exciting developments to cover here today that showcase the momentum we've been experiencing here at Inpixon. So let's get started.  First up, our revenue continues to grow on a year-over-year basis; revenues increased by 64% to $3 million in the first quarter of 2021 compared to $1.8 million for the first quarter of last year. Despite lingering effects of the pandemic, we continue to grow our topline as a result of strategic initiatives we've put in place in 2020. We also took advantage of the liquidity in the markets earlier this year and increased our working capital by raising approximately $78 million in net proceeds during the quarter, so we can invest in our growth and do some fantastic M&A transactions that we believe will significantly increase our revenue velocity, our ARR, as well as profitability. We're able to also leapfrog our product roadmap by acquiring some incredible technology from Visualix in augmented reality or AR, computer vision and 3D maps that customers have already started asking for. The CXApp acquisition is also very timely for us because every company around the world is thinking about how they want to manage their return to the office in this new hybrid workforce paradigm, where employees will sometimes work remotely from home and other times from the office; welcome to the new normal because it's not going away. And not only that, it's accelerating the digital transformation of the office; our virtual and physical worlds continue to converge in so many ways with this digital transformation, and Inpixon's indoor intelligent products play a critical role in this. CXApp is not only the right product at the right time, it also fulfills an important piece of Inpixon's product technology stack and our strategy to connect with the ultimate end-user; more on that in a few minutes. I also want to note that CXApp was an attractive acquisition for us because it is experiencing significant growth in demand for it's products from some of the largest, most well-known organizations in the world, it's doubling it's bookings in revenue over the last 12 month period ending March 31, 2021. We expect that that same trend to continue over the next 12 months, which is the driving motivator behind the $8.2 million revenue target provided in connection with the transaction. And based on the pipeline we are seeing today, I wouldn't be surprised if we exceed that number.  And for those of you who have been following us since the spinoff of the Sysorex Systems Integration business in 2018, you know, that our M&A strategy has been focused on holding a dominant position in the indoor intelligence market, as the only company with the ability to offer our customers the full technology stack in both, hardware and software, that's required for capturing, interpreting and visualizing indoor data; a comprehensive one-stop shop, if you will, that includes positioning, mapping, analytics, ultra-wideband tags, and now we can add to that list augmented reality, and of course, via app [ph]. But, I want to explain to you why we have been doing what we've been doing. At Inpixon, we believe in the power of experiences. Organizations that leverage our technologies, and the actual indoor intelligence we provide, can deliver better experiences to their customers with smarter, safer and more secure environments. Let me explain how our products come together to deliver that experience, and even more so now, with the CX app, and Visualix transactions. If you think about some of your best memories, they'll likely be grounded in an unforgettable experience or an important life event or something personal; the same applies to the products and services we use, some standout more than others because the experience you get from them or how they make you feel. Personalized experiences, I'd say the Barista that greets you by name when you walk in, and has your drink ready, right on time every day, or maybe it's the experience some people feel in driving a Tesla. Why is Tesla's market cap higher than the next top six car companies combined? They all offer electric vehicles now; it's because the experience and feeling owning a Tesla gives it's customers. Just like Apple it's able to do with it's products for it's loyal customers. Our goal is to create that kind of connection with our customers. For Inpixon, it's the way our indoor intelligence defines the indoor experience you have in the spaces that you visit. What do I mean by this? Some of you may have heard me say this before, but I often think about how we can make our smartphones truly smart or any connected device for that matter. Like the Barista, who knows what you want, when you want it, our devices should be able to do the same thing, but even better. We shouldn't have to ask our devices to give us information to be truly smart devices, they should be able to recognize and just swipe [ph] the information that we need, when we need it. By relying on a combination of location data, contextual information and AI, our devices should be able to deliver us meaningful valuable content and services freely as we move from one location to the next; that's the experience we are looking to create with our products. We need all of our indoor intelligent products working in concert to make that happen, and that is what we've been working towards for the past few years. The CXApp acquisition just enhances it's experience even more. CXApp integrates with 75 other products like Slack, Zoom, Microsoft Exchange, Seawinds [ph], etcetera, and more are being added every month. These integrations help us capture more contextual data to deliver an even better, and faster, and more personalized indoor intelligence experience whether you are at work, or an airport, a university, or a hybrid event in Vegas with 100,000 other people. We Inpixon-ize these spaces to help our customers deliver smarter, safer and secure experiences to their employees, visitors, patients, shoppers, travelers etcetera. And by the way, those 75 integration partners are great selling point and competitive differentiator for us. For our customers and users, it creates a better experience; and for us, it helps us win more business and increase revenue. And not to mention, the referral opportunities that come from this partner ecosystem. This is a perfect example of why the experience drives financials stats [ph]. Just like Apple and Tesla, we're hoping to create that experience and capture that cult like following. Now let's go back to digital transformation in workplaces that I mentioned earlier, because the workplace is our primary market focus today, and COVID has accelerated digital transformation in the workplace which is driving demand for our products. When we talk about digital transformation for businesses we are talking about how an organization uses digital technologies to create or modify new business processes, cultures and experiences to meet business requirements. A McKinsey report just mentioned that COVID-19 has pushed companies over the technology tipping point and transformed businesses forever, and they said funding for digital initiatives has increased more than anything else. In fact, there are lot of data points and expert analysis supporting this idea of a massive permanent shift in the workplace and priorities and budgets, which in line with Inpixon strategy and our solutions. For instance, the Harvard Business Review noted, that we're experiencing a change at warp [ph] speed. They said and I quote, "Organizations have reshaped workforce, overturned age-old business models, and embraced digital technologies in rapid response to the pandemic". KPMG reported that as organizations prepare locations for the return of office workers, 99% of employers are turning to technology to manage the complex and unprecedented challenges reopening during a pandemic. 40 of those -- 43% of those specifically for facility readiness management. The New York Times reported that more than 80% of companies are embracing a hybrid work model, whereby employees will be in the office three days a week. And Google, a company whose lead many others follow, just a few days ago detailed their plans. They said they expect a workforce where around 60% of Googlers are coming together in the office a few days a week, another 20% are working in new office locations, and 20% are working from home; and they stated, and I quote, "The future of work is flexibility". So, here at Inpixon, we believe that organizations just simply can't deliver the kind of flexible work environments that the workforce will demand and expect without leveraging the power of indoor intelligence, and the range of technologies that Inpixon can offer. With this accelerated shift to a digital workplace, a seamless employee experience is critical to the success of the hybrid office model, and as we look at transitioning back to the office, in person experiences will become the priority in the workplace once again, but they will be completely different. So what do people mean when they talk about the employee experience? Why do we care about it? Why is it so critical to the success of an organization? And why are they willing to heavily invest in developing an exceptional employee experience?  When we talk about the employee experience, we are referring to all of the ways in which employees engage with the employer, and the resulting perception that the employee has about their employer. The employee experience is influenced by a variety of factors; the environment in which the employee works, the tools and technology the employer provides the employee, the employers commitment to the health, safety and success of employee. There are a number of studies which show that companies that value employee experience just as they -- as much as they value the customer experience are more successful and more sustainable for the longer term. Why is that? Because when employees feel that the organization has invested in them and their happiness, they are more productive, retention increases, and they are more invested in the success of the organization as a whole, and so the organization can actually deliver more successful results. Today, in order to deliver exceptional employee experiences, organizations have to think well beyond the physical office environment. Today the office is everywhere, it's hybrid, it's dynamic, and the technologies chosen by an organization have to be able to meet these needs in order to truly deliver an exceptional experience. The return to office experience has to be impeccable. I find some time explaining the importance of the return to office experience here because this is our primary go-to-market focus right now, and where we are seeing the most growth. The good news is that not only do we have the ability to deliver the technologies that can do this, we can do it better than the other guys. So now let's talk about those technologies we've been building and are acquiring over the last couple of years, that deliver this premiere experience we're seeking to deliver. So, it starts with location intelligence. Many of you have heard me say this before but today there is probably no need to explain the value of GPS as a location technology for the outdoors. GPS services and technologies have dramatically changed the world, as we know it, with many examples of ways in which it helps our everyday life. Many of those same benefits can be leveraged indoors with indoor positioned technologies. Inpixon began it's indoor intelligence offering with it's radio frequency centers and positioned technologies. Our device detection sensors have been leveraged by government agencies and corporations to enhance security measures and bridge the gap between physical and digital security. Understanding where mobile devices are present within a facility allows organizations to make key decisions around security, risk mitigation and public safety. We have continued to enhance our positioning technologies with the Nanotron and Ten Degrees transactions last year. This includes improvements made to our RTLS Solutions with both chirp and ultra-wideband capabilities, delivering decreased latency, increased location accuracy down to centimeters, expanded our system scalability, and offers a mature set of developer tools. We've added ranging which is the measurement of distance between two tags, that's all without any additional infrastructure like sensors or anchors; we've added on-device positioning with Ten Degrees, so we can do the location calculation right on your phone. Many of our competitors require sensors to be installed on the ceiling, and at the location engine be running on a computer server or in the cloud, whereas we're able to deliver the blue dot to the app by calculating the location right on the phone using it's gyroscope, accelerometers and other sensors. Our non-device position tech is integrated into our mapping platform, and is ideal for turn-by-turn navigation with low or no infrastructure requirements. We're now looking at integrating this with our CXApp product. Underlying most of our deliverables are maps, so let's talk a moment about the importance of mapping. We quickly recognized the critical role that indoor mapping technologies play for the user in providing an intuitive view to indoor data; that's what works in the outdoors, so why not indoors. I don't know about you but I use Google Maps for the outdoors as a convenient context to view all kinds of data, phone numbers, business hours, ratings and photos to name a few; and that's what we're bringing to the indoor maps. That's why we -- what I believe to be one of the best enterprise class mapping platforms when we acquired Jibestream in 2019. We take business's CAD files of their facility, and then plot onto an interactive map, digital twins of all of the facilities key places and things like entrances and exits, valid pathways, conference rooms, restrooms, elevators, cafeterias, etcetera. Then we add indoor positioning for turn-by-turn navigation, and we create integrations using our API's for third-party products, so customers can view room temperature, air quality sensor readings, and more, and it's all there right on the map. These integrations also enable automation triggering actions in other workflows system. Automation can drive cost down and employee satisfaction scores up. This information rich map is now actionable and can be made available to employees and visitors via smartphone app like the CXApp, or even a kiosk and/or website. And now we're taking Inpixon maps to the next level with 3D mapping, computer vision technology and AR, that we've acquired from Visualix. Imagine the street view on Google Maps now coming indoors, and then overlay virtual artifacts onto the live map displaying points of interest where key information such as a room name, or amenities, photos, or reviews, or have an avatar guide you turn-by-turn while providing relevant timely information through your journey, or picture a factory setting and wearing your AR glasses embedded with our augmented reality SDK [ph] to walk you through the next steps on the assembly line; lots of applications and opportunities using this technology. And as you may have heard or seen in the news, AR has been gaining serious attention from both, the research and industry communities. In fact, the research firm, Markets & Markets projects the mobile AR market to grow at a compound annual growth rate of 31.1% from $7.6 billion in 2020 to $29.5 billion by 2025. They also reported the increased interest of large technology companies in mobile AR apps as one of the driving factors of the growth of the mobile AR market, and in fact, we are starting to see that, both existing and potential Inpixon customers have already expressed their desire to look at these technologies from us. The opportunities for AR and computer vision are nearly limitless, including everything from enhanced navigation, to asset tracking, and smart office applications, customer service, marketing and gamification. We feel our timing is excellent because AR is moving rapidly into the mainstream. You may have seen announcements by Apple and Samsung that AR features are now being built into their lineup of phones. Users will expect AR functionality and will be able to offer in our maps and apps. And this brings us to the final piece of the puzzle, the mobile app. The app is the means by which the user can fully experience the benefits that interlinked location technologies can bring. Our mapping in OTP or on-device positioning technologies require an app in order to allow organizations to deliver a full solution to the user, and we've been in search for the right app platform for some time. Mobile apps are the only solution capable of two-way communication from device to device that is also available on the go. And with the CXApp, we are now directly connected to the user with the ability to deliver an employee experience from one app platform, which as you heard me talk about earlier, is central to meeting the demands of today's hybrid workplace. The CXApp enables corporate enterprises to provide a custom branded, location aware, mobile first experience that connects employees to the workplace, whether they're working on-site or remotely. Within that one app, employees can reserve desks for a day at the office, order food and have it delivered or pick it up, check in for the daily meeting, search and reserve whiteboard, display monitors or projectors required for in-person meetings, or communicate with colleagues about a collaborative project, browse corporate news and announcements, participate in company events, campaigns, plan their day on-site in advance, and be immediately navigated to billable desks, conference rooms, parking spots, and other hotspots across the workplace, and even engage with potential clients or partners. The capabilities of the CXApp are impressive, and we have way more features and functionality built in than our competitors do. But just as important as these features are the partner integrations, and what those mean for the user experience. As I mentioned earlier, we have over 75 pre-built partner integrations with third-party solutions such as Active Directory, G-Suite, Zoom, Marchetto, Zendesk, Slack, etcetera. These integrations allow us to provide our customers and users with access to the tools they engage with every day in a single platform, making them easier and more accessible in a frictionless workplace ecosystem. These pre-built integrations make our deployments faster, and easier, and a great differentiator in the market. By the way, CXApp leverages a strong ecosystem of partners with companies such as Aruba, One Workplace [ph], ServiceNow, and Cisco among others, all of which share the division to deliver an exceptional experience. We believe partners are critical to our growth plans, and look forward to adding these partners to our existing ecosystem of partners. I want to switch gears a little bit and talk about another piece of the CXApp we haven't touched on yet, and that's on the hybrid event market. They all take us into the hybrid events market which is exploding, and before explaining the CXApp solution there, let's take a look at what's going on with events. Prior to the pandemic, almost all events were in person, and then during the pandemic all events went virtual over Zoom or Teams or other streaming platforms. Where the market is going now is hybrid events, there are multiple reasons for this as you can imagine; some people just had apprehension about attending an in-person event due to safety concerns, until they'll opt to do it online. Certain jurisdictions may impose occupancy limits, forcing organizers to limit the number of in-person attendees, so they'll have to bring the rest of the attendees online. And third, cost; it's a lot cheaper to have folks attend online than traveling in-person, so many companies will look to reduce their budgets on these types of events by having some people attend virtually. So you'll see simultaneously having some attendees be there in person while others are remote, that's a hybrid event. We might even have a scenario where an attendee starts in-person, and then decides to attend the rest remote, or vice versa; they'll need to seamlessly transition between modes, and have the support for multiple device types. Let's take a look at what the headlines are saying. Forbes put out a quote saying the future of events is hybrid, while switching up your entire investment model is never an easy decision, the cost of waiting is much greater. VentureBeat said, virtual events came of age in 2020 but the future is hybrid. And MarTech today wrote, events of the future will be hybrid and always on, in person will return but the virtual Genie can't be put back in the bottle. The views of industry pundits and the discussions we're already having with our customers and pipeline make us quite bullish on our prospects to capture a meaningful share of the trillion dollar events market. To execute a hybrid event, organizers need an event platform optimized for hybrid events, and omni-device experiences, and that's exactly what we have brought into the Inpixon family of products with the CXApp acquisition. This capability is one of the reasons we pursued them because we see a big long-term market opportunity here. And now their COO too has reflected by some of the huge valuations for event companies lately, like Visibo and Hop-In [ph]. The CXApp actually started as an event meeting platform. Corporate event organizers have been using it to host their customer conferences, employee events, and executive briefings for many years. It's a very mature product and it integrates with attendee registration systems like Cvent and others. It helps the user understand travel logistics and nearby accommodations, lets them customize their agenda, their monitor sessions and speaker BIOS, and of course offers maps with navigation to key destinations like conference rooms and breakout rooms in a private venue or a large convention center. And over the last year, the CXApp was optimized to support virtual events as well, to meet the demand for an exploding market segment. Live or recorded event video stream can be piped into the CXApp's event platform, and viewed on a desktop, tablet or the mobile app, may be -- making it very convenient and accessible for all types of users. And when attendees are unable to attend in-person, they can still get the event experience by visiting virtual booths and viewing 3D trade show floors, product demos or even virtual offices. Perhaps, most importantly, the mobile app creates an attendee engagement experience that can be fulfilled anywhere through live streaming, social feeds, polls, surveys and electronic content. Our maps and our on-device positioning products are integrating with the CXApp already today, and we look forward to integrating the Visualix AR or augmented reality into this to creating even more powerful experience for our customers. I do want to touch on a few other benefits of the CXApp acquisition. The CXApp product line increases our average selling price or ASP, potentially 10x, with customers that were just previously buying Inpixon maps or our on-device positioning. It also increases our annual recurring revenue or ARR; customers do pay some upfront fees at deployment, but after that, it's all ARR. We also get increased stickiness and higher customer retention rates because of the strong value proposition based on it's features and functionality, and of course, the 75-plus partner integrations. Combined within Inpixon we also offer customers a lower total cost of ownership through if they get to work with a single partner. And in terms of the growth momentum, I can tell you we have approximately 25-plus new customer deployments in process now, including many Fortune500 type companies, and I expect that growth to continue so much so, that we have reallocated our teams at Inpixon to support the overwhelming demand as companies look to reopen their offices. If I think about Inpixon's expected organic growth and add to that the phenomenal growth CXApp is experiencing, which also has the ability to pull through additional sales of our existing maps and OTP product immediately, followed by future upselling opportunities for our employee or asset tags, and our analytics, and AR products; I just don't see how we can't be the 800-pound gorilla in this space in the near future. So for those of you folks out there shorting our stock, take this as your warning; we're here to win. Speaking of winning, and before I pass it to Wendy to cover the Q1 financial results, I'd like to address the recent note receivable settlement agreement with Sysorex. In April Sysorex to announce the closing of a reverse triangular merger with TTM Digital Assets & Technologies, a datacenter owner and operator, primarily engaged in the business of mining Ethereum and additional cryptocurrencies. As a result of the transaction, Sysorex adopted TTM's business and operations, while also continuing to operate the existing business through it's wholly-owned subsidiary, Sysorex Government Services. In connection with this transaction, we settled a note receivable plus certain other amounts payable to Inpixon by Sysorex relating to the spin-off of Sysorex in 2018, in an aggregate amount of approximately $9.1 million, with approximately 13 million shares of it's common stock and rights acquire another 3 million shares of it's common stock. Prior to this transaction, we had recorded a full valuation allowance against the note due to the uncertainty of repayment. Because it is a second quarter event, the impact of this transaction on our balance sheet is not currently reflected in our financial statements, and we are working with our accounting advisors to assess how the transaction in shares will ultimately be valued and recorded. However, based on yesterday's closing price, the shares including the shares underlying the rights agreement are valued at approximately $100 million, that's just about equal to our current market cap. I'm sure, you know, several mainstream companies have started transacting in cryptocurrencies or investing in cryptocurrencies and benefiting highly from it. As mentioned in our press release, we currently have no plans to enter the crypto mining business, but we do intend to capitalize on what we believe is an attractive opportunity at the right time to maximize value for our shareholders. As already mentioned, the results of the transaction and devaluation attributed to the shares will be reflected in our financial statements in Q2, but from my perspective, this is an amazing outcome for our shareholders, but I don't believe the market has quite yet realized given that we own approximately 16 million shares or just under 10% of a company that is valued close to $1 billion today. In a bit, I'll answer some of the questions submitted to our investor relations firm, but first, I'd like to turn it over to Wendy, our CFO to discuss our first quarter 2021 financial results.
Wendy Loundermon: Thank you, Nadir. Revenues for the three months ended March 31, 2021 were $3 million, compared to $1.8 million for the comparable period in the prior year for an increase of approximately $1.2 million or 64%. This increase is primarily attributed to the sales related to the Systat and RTLS product lines. Gross profit for the three months ended March 31, 2021 was $2.1 million, compared to $1.3 million for the comparable period in the prior year for an increase of 60%. The gross profit margin for the three months ended March 31, 2021 was 70% compared to 72% for the three months ended March 31, 2020. This decrease in margin is primarily due to lower gross profit margins from the RTLS product line. Net loss attributable to stockholders of Inpixon for the three months ended March 31, 2021 was $12.6 million, compared to $6.2 million for the comparable period in the prior year. This increase in loss of approximately $6.4 million was primarily attributed to increased operating expenses, which includes $2.2 million from the Systat licensing agreement and Nanotron acquisition and approximately $4.7 million of stock-based compensation expense, which was offset by higher gross profit during the first quarter of 2021. Non-GAAP adjusted EBITDA for the three months ended March 31, 2021 was a loss of $5.6 million, compared to a loss of $3.9 million for the prior year period. Non-GAAP adjusted EBITDA is defined as net income or loss before interest provision for income taxes, depreciation and amortization plus adjustments for other income or expense items, non-recurring items, and non-cash items, including stock-based compensation. Pro forma non-GAAP net loss for basic and diluted common share for the three months ended March 31, 2021, with a loss of $0.8 per share, compared to a loss of $0.92 per share for the prior year period. Non-GAAP net loss per share is defined as net income or loss for basic and diluted share, adjusted for non-cash items including stock-based compensation, amortization of intangibles, and onetime charges and other adjustments, including loss and the exchange of debt for equity, provision for valuation allowance, on notes, and acquisition costs. As of March 31, 2021, we had an aggregate of $96.3 million income in cash on hand and short-term investments, which probably include treasury bills and treasury notes. This concludes my comments and now, I'd like to turn the call back over to Nadir.
Nadir Ali: All right. Thanks, Wendy. David, would you please lead us through the Q&A discussion?
David Waldman: Yes, thanks, Nadir. Like last quarter, in our earnings announcement press release, we suggested interested parties submit questions in advance. We'd like to address those questions for you now. Some of them were duplicative, so we did our best to reconcile those were possible. If you have any further questions after the call, please feel free to follow up with Investor Relations, and we'll be sure to respond as quickly as possible. Our first question, Inpixon recently acquired Visualix for indoor augmented reality around the same time that Google Maps launched their indoor augmented reality tool Live View. Can you provide color on the similarities and differences between these two offerings?
Nadir Ali: Sure. So AR is really hot right now. Google, like Apple, Samsung, and many other have major plays in the AR space and we believe this will help drive user demand. Google's Live View is similar to our AR in that digital artifacts such as ARs or data labels can be presented on the user screen, overlaying the live camera view. The Google's Live View is primarily for public spaces. Inpixon AR, on the other hand, is primarily for corporate indoor spaces. While Google is likely going to offer a standardized version served from their platform, Inpixon can offer unique experiences for our customers by deeply integrating with customers' other devices and systems. Imagine going to Google and asking them to change their app for you, that's just not their business model. So, we're quite different in that respect. We don't really look at the major players as competitors, per se. The all this activity is stimulating marketing demand and our technology supports both the AR core from Google as well as the AR kit from Apple for customers that request it. You also asked about our plans, we haven't announced anything specific yet, but I'll share this much, we are already working to integrate AR into our mapping platform. This will enable unique capabilities such as navigation, using helpful digital artifacts to guide the way, sharing of that navigation experience with others, and presenting digital overlays of information onto the physical world, for instance, a warehouse worker can point their tablet at a box and see a list of the box's contents. We'll also be exploring the exploring the ability to create a map of a space using nothing but the phone's camera with our Computer Vision technology. Computer vision is a type of artificial intelligence and has numerous potential applications for our customers. Of course, we are now exploring integration opportunities with the CXApp product line. So, there are a number of leading-edge technologies that came into picture with the Visualix transaction and we're looking forward to sharing more information about them in the future and I would just add that one of the most notable differences in our solution is that it's fully customizable. Organizations can create their own 3D representations of their building, campus, or event space, and apply branded content upon allowing employees and visitors to interact with the premises.
David Waldman: Great, thank you. Our next question is, can you provide additional color on the Sysorex transaction. For example, was the Sysorex note receivable previously written down to zero on Inpixon's balance sheet? What's the approximate value of the Sysorex shareholding today and will that value gain be recorded as income in Q2? What is the company's plan to monetize this holding?
Nadir Ali: All right, so that's a lot there. I think, I've covered most of that on the call, but just to kind of summarize it, we did sell a note receivable plus certain other amounts payable to Inpixon by Sysorex relating to that spin off in 2018, which totaled approximately $9 million. We received approximately 12.9 million shares of common stock and the rights to acquire 3 million additional shares of its common stock. Prior to this transaction, we did record a full valuation allowance against that note due to the uncertainty of repayment. Because, it's a second-quarter event, this transaction happened in April, the impact of the transaction on our balance sheet is not reflected in our current financial statements and we're working with our accounting advisors to assess how the transaction and shares will ultimately be valued and recorded. However, based on the closing price of Sysorex's shares on May 12, the shares have a market value of approximately $105 million today. Regarding our plans to monetize, we've not made any decisions at this time in terms of monetizing the note and the board is considering all its options, so I'll leave it at that.
David Waldman: Great, thank you. Our next question, over the past year, the company has completed several acquisitions, which nicely fills out the overall product suite. Do you now foresee additional acquisitions or will the main focus be to now align the various product teams to now go and dominate the end market?
Nadir Ali: Yes, look, right now our primary focus is aggressively penetrating the market with our solutions and driving organic growth. We have a lot of momentum with the CXApp products and one to invest in support the CXApp and go after the hybrid events market that I talked about pretty aggressively. So, what we're looking to do that as well as grow our existing product lines organically. Of course, however, will always be open to exploring strategic transactions opportunistically that we believe will create long term shareholder value, but the primary focus is going to be on the organic growth.
David Waldman: Thank you. Our next question, CXApp appears to be a growing company that represents the largest acquisition Inpixon has done, why did CXApp choose to align with Inpixon instead of pursuing an alternate path like private equity or a SPAC?
Nadir Ali: That's a fair question and it's good question. They certainly did have some other options. They are a fast-growing company and that's exactly why they chose to move forward with Inpixon instead of some of the other options they had. I'll paraphrase Leon Papkoff, the Founder and CEO of CXApp, here a bit, what he said to me during our negotiations is that he sees that Inpixon can help him immediately scale his business to meet the overwhelming demand that they're experiencing. Yes, we bring the capital to the table like the other parties do as well, but we already have the people and processes, organizational structure, and the partners to put to work immediately and he saw value in that. With other options, such as private equity or VCs or even SPAC, the capital resources may have been available. But, all these other things, I mentioned, would take time to find, recruiting takes a long time and you got to build all of these things, and you don't always get it right the first time. We had it all in place to help them execute right away. Also, remember, we've been working with the CXApp team on several customer engagements using our maps or on device positioning products, so our teams know each, other work well together, and we understand each other's products and the market. I think it just made a lot more sense for them to partner with somebody like us.
David Waldman: Great, thank you. Our next question, can you provide color on the growth outlook of CXApp and their ability to meet the revenue performance achievements as laid out in the transaction?
Nadir Ali: I touched on this earlier, but as I said on that call, the tremendous growth the CXApp is experiencing is pretty incredible. I've mentioned that their bookings and revenue are about doubling over the last 12-month period ending March, 31, and we see that trend continuing. This is the right product, at the right time, as companies around the world looks to get back into the office. This demand is what drove their need to find a strategic and financial partner like us and we're confident that we can accelerate their growth with the additional resources we have. We've turned on some of those levers already from lead gen to customer delivery to support the growth that they're experiencing. We also plan to invest in the hybrid events business, as I mentioned, so that's a huge and fast-growing market, as the pundits are all pointing out, and so, that's going to create additional revenue opportunities Inpixon. Both of the solutions from CXApp, whether the Campus App or the Events Piece, leveraging Inpixon's other products significantly and help us really improve the intelligence experience we're trying to deliver to our customers. I should also just mentioned that, you probably saw the press release this week, that CXApp was just awarded the best smart building solution for return to work in the Connected Real Estate Tech Awards Program and they stated our combined solution with CXApp delivers an exceptional technology solution contributing to the improvement of the return to work transition. That's the focus right now across the globe and definitely here in the US, and we've got the right products to help companies be really successful and deliver that wonderful experience, that best employee experience.
David Waldman: Thank you. Our next question. Can you comment on your customer activity and revenue potential now that businesses are reopening following COVID and people are going back to the office? Is there no more need for tracking and tracing in the office or companies now need these solutions more than ever as they prepare a new hybrid office environment business model?
Nadir Ali: Yes, it's definitely the later. Companies need CXApp, maps, OTP solutions, now more than ever. What started with contact tracing and social distancing, has transitioned to managing employees in this new hybrid workforce model and the events business is also a growth opportunity as we've said repeatedly. Some of our hardware solutions may take more time as they require on-site installations and need people back in the office first before those can be deployed, whereas the other solutions like our CXApp or the maps and an on-device positioning are needed now before the employees come back into the office. I mentioned this in the call earlier, but I feel really confident about our revenue growth potential. I believe the time is now and I believe, we have the technology to deliver what the markets want and need in a way that others can't.
David Waldman: All right, thank you, Nadir. That concludes the Q&A. I'll turn it back over to you for the close.
Nadir Ali: Thanks, David. All right, so before we close, I just want to reiterate how important the last few months and weeks have for us. We continue to differentiate ourselves from other players with the ability to deliver full stack indoor intelligence technologies. We believe that our competitors can't truly deliver the unique experience customers desire without being in control of all of the critical technology components, including the app, maps, 3D, AR, on-device positioning, real-time location services, and all of the APIs and SDKs and developer tools as well as our analytics. We've been pursuing this path over the last two years and we've achieved the milestones we've set out to accomplish and have all the pieces in place as I just mentioned. We think the time is now. I'm confident about our prospects and based on the opportunities we're pursuing, I believe we are in a significant growth trajectory. With that, I'd like to thank all of our shareholders, customers, partners, and our fantastic employees across the globe for your continued support. Also, I want to give a warm welcome to our new employees from Visualix and the CXApp to the Inpixon team. I couldn't be more excited about what we're going to accomplish together. Thank you everyone, stay safe and take care.
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may disconnect your lines at this time and have a wonderful day. Thank you for your participation.